Marcos Molina: Thank you for participating in Marfrig’s earnings conference call. Let’s start this conference by reviewing the main highlights of the second quarter of 2022. Marfrig’s consolidated net revenues for the quarter were BRL 34 billion in accordance with technical standards, CPC 15 and CPC 36, which deal with the combination of businesses and consolidated statements. The consolidated adjusted EBITDA was BRL 4 billion or a consolidated adjusted EBITDA margin of 11.5%. The consolidated net profit reached BRL 4.3 billion. As for operational cash flow, the result was positive BRL 1.9 billion in the quarter. Here, it is worth noting that with the consolidation of the results, we now have a more diversified company from the geographical and protein standpoint. Therefore, the North American operation now accounts for 42% of the consolidated revenue, while the South American operation represented 21% and BRF’s results accounted for 37%. When we analyze the consolidated adjusted EBITDA, the North American operation represented 47% of the total, while the South American operation, 17% and BRF’s EBITDA at 36%. Based on this greater diversification, we observed that the dollar continues to be the main currency of our results accounting for 73% of the consolidated revenues in the quarter. The North American operation once again presented a strong quarterly result with net revenues of $2.9 billion and an adjusted EBITDA margin of 13.2%. The South American operation also reported a strong result with net revenues of BRL 7.1 billion and an EBITDA margin of 9.5%, 6 percentage points above the margin of the same quarter of 2021. The consolidated leverage adjusted by the EBITDA of the last 12 months of BRF was 2x when measured in reals and 2.01x when measured in dollars. Because of this operational and financial performance, Marfrig’s management proposed an early payment of interim dividends totaling BRL 500 million, which represents approximately BRL 0.76 per share. We also announced the cancellation of 31 million shares held in treasury and opened a new share buyback program for another 31 million shares. Now I give the floor to Tim Klein, the CEO of the North American operation. Tim, please go ahead.
Tim Klein: Thank you. Let’s begin on Slide 4, where I will comment on the results for the second quarter. Starting on the left, sales volume in the quarter was 1.8% higher than the same quarter of last year. Net revenue was flat with the previous year, and we achieved EBITDA of BRL 388 million, 46.2% lower than last year with an EBITDA margin of 13.2%. As expected, margins in our business decreased versus last year’s exceptional results that were driven by the post-pandemic economic rebound and a surplus supply of cattle. Fed cattle supplies, although lower than last year, remained plentiful in the quarter. Consumer demand for beef, however, was negatively impacted by cooler weather, inflation and negative sentiment related to the war in Europe as well as prospects for an economic recession. Please now move to the slide 5, where I will talk about U.S. market data. Starting on the left, cattle prices as reported by the USDA, average $138.24 per hundredweight, up 15.4% year-over-year on strong demand from packers. The USDA comprehensive cutout average $264.22 per hundredweight, down 9.6%, while the drop credit increased 14.8% to an average of $13.48 per hundredweight, led by increased tallow, blood and bone meal values. The cutout ratio was 1.91 versus 2.45 last year. As we look forward to Q3 and the rest of 2022, industry fundamentals continue to be in our favor. Fed cattle supplies remain adequate, while beef demand is still robust, both domestically and internationally. Margins for the industry should continue to be favorable. Now I’ll pass to Miguel.
Miguel Gularte: Thank you very much, Tim. We will now move on to Slide #6, where I will explain the performance of the South America Operations in the second quarter of 2022. In the chart on the left, the total sales volume had a growth of 12% compared to the second quarter of 2021, driven mainly by the strong resumption of sales to China, which returned to normal levels at the end of last year. The increase in export volumes compared to the same period in 2021 was 25% and reached 139,000 metric tons in Q2 2022. In the central graph of this slide, net revenue, we can see that in the second quarter of 2022, we reached BRL 7.1 billion, 42% above the revenue of the same period in 2021. A combination of higher volumes and higher average prices, both in the domestic and the export markets positively impacted the performance of the South American operation. The highlight were the average export prices, which were 42% higher than in the same period of 2021. It is important to say that exports accounted for 67% of the total consolidated sales of the quarter. This shows the great differential Marfrig has for operating 13 units certified to export to China. We are the largest exporter of the region to that country. This is important because currently, China is the largest importer of beef in the world. According to the USDA, China is expected to import this year, approximately 3.2 million tons, about 30% of the entire world volume and 4% above the volume imported last year. This puts Marfrig in a privileged position to capture the growth of the global beef market. Finally, the graph on the right, EBITDA, we reached a record BRL 678 million in Q2 2021, a growth of more than 270% over the Q2 2021 EBITDA. This better performance can be explained by the effects of higher volumes and better prices. As I mentioned earlier, although these positive factors were partially mitigated by the increase in cattle prices and the 6% strengthening of the real against the dollar, which impacted our exports, we reached an EBITDA margin of 9.5% in Q2 2021, 6 percentage points above the margin of the same quarter in 2021. Once again, I’d like to highlight our business model with integrated platforms in the countries where Marfrig operates. This model, along with an active operational efficiency program, provides us with a differential in the trading of our products, and the results are translated into the performance presented here, which confirms the assertiveness of our model and strategy. Moving on to Slide 7. I will talk about the export performance in the Q2 2022 results of the South American operations. As can be seen in the graphs on this slide with the evolution of exports, we noticed a significant variation in our main destinations. China and Hong Kong went from 62% of exports to 74% in the second quarter of 2022. This movement was caused by the higher exports to China throughout practically the entire second quarter of 2022. Thus, reinforcing our position as the largest exporter to this important market where export prices and volumes rose significantly in the quarter, benefiting Marfrig’s results. Besides, it is also worth noting the company’s exports to the United States, which continues to perform satisfactorily and to Europe where Marfrig was the largest exporter of the Hilton quota from Brazil, Uruguay and Argentina in the last 12 months. I now turn it over to Paulo Pianez, who will comment on the sustainability highlights.
Paulo Pianez: Thank you, Miguel. Marfrig reaffirms its commitment to the ESG agenda, acting strongly with its supply chain and its partners to develop cattle farming that combines production and conservation in a low-carbon setting. The Marfrig Verde+ Program launched in July 2020 based on the produce, conserve and include strategy showed very positive results in the second quarter on all fronts, especially traceability and support, legalization and inclusion of producers. On the traceability front, including indirect suppliers, Marfrig already monitors 100% of direct suppliers in the Amazon and Cerrado regions. As for indirect suppliers, we closed the second quarter of this year, with 71% control and monitoring in the Amazon and 72% in the Cerrado. On the inclusion front, the company has supported and re-included 2,407 farms in its supply chain from 2021 until the end of the second quarter. This is a clear example that the inclusion strategy is the most effective solution to reconcile production with conservation as all these producers began to meet the highest standards of sustainable cattle production. Marfrig had its greenhouse gas emission reduction targets approved by the Science Based Targets Initiative being the only company of the sector in the Americas to obtain this approval under the commitment to limit warming to 1.5 degree C. In Scopes 1 and 2, the goal is to reduce absolute emissions by 68% base year 2019 by the year 2035. In Scope 3 to reduce emissions intensity by 33% base year 2019 by 2035. This scope includes methane gas. This quarter, Marfrig published its 2022 sustainability report. A publication that presents all the results obtained on the various ESG fronts of the company providing transparency to the commitments and targets established. In order to involve the entire staff in the sustainability journey, the company also promoted several training and engagement actions leading up to the sustainability week in June, the month that includes the World Environment Day. And finally, Marfrig launched the Pratodoamanha [ph] portal, a web content platform that brings information about innovation and technology for the development of a more sustainable and low-carbon livestock farming. It already ranks ninth among similar platforms with more than 40,000 visits a little more than a month since its launch. We invite you to visit the portal at www.pratodoamanha.com.br. These efforts and results obtained with the Marfrig Verde+ Program, along with other actions demonstrate our commitment to sustainability generating positive impacts throughout the company’s supply chain in all the regions where we operate. Thank you. I now turn it over to Tang, who will comment on our results.
Tang David: Thank you, Paulo. In the next slides, I will present Marfrig’s consolidated financial results for the second quarter of 2022. As already mentioned, after the approval of the new BRF Board of Directors appointed by Marfrig, we will hold the controlling power of the company as of April 1, 2022. For this reason, the BRF results will be consolidated with those of Marfrig as of the second quarter of 2022 in accordance with the technical accounting regulation, CPC-15, of business combination and CPC-36 consolidated statements. Therefore, the information I will comment on in the next slides, except where indicated, includes BRF’s figures. Starting on Slide 11, on the left graph, in Q2 2022, we generated a consolidated net revenue of BRL 34.5 billion. In the right chart, this quarter, we generated almost BRL 4 billion in adjusted EBITDA with an 11.5% margin. It is worth mentioning here the new revenue and EBITDA profile brought by the consolidation. We started to generate 42% of net revenue in North America, 21% in South America and 37% by BRF. The breakdown in EBITDA generation was 47% in North America, 17% in South America and 36% in BRF. On Slide 12, if we look at consolidated net revenue, we see an important diversification of sales destinations. The diversification of proteins added to geographic diversification are success factors of Marfrig’s value generation strategy. Moving on to slide 13. We show the consolidated net income, which for the quarter was BRL 4.3 billion. The effect of the PPA on the net income was BRL 3.9 billion. We must remember that this quarter, the mark-to-market of BRF shares was no longer applicable since we now control the company. On Slide 14, we present cash generation. In the graph on the left, Marfrig’s operating cash generation, BRF excluded, was BRL 1.4 billion. Discounting CapEx investments for maintenance and organic growth of BRL 523 million plus interest paid of BRL 570 million, recurring free cash flow was positive BRL 286 million. In the right chart and in consolidated terms, operating cash generation in the second quarter of 2022 was BRL 1.9 billion. Discounting CapEx investments and interest paid in the period, free cash flow was negative BRL 343 million. Moving on to Slide 15. Net debt and leverage, BRF excluded. Marfrig’s net debt without considering the effects of the BRF consolidation at the end of the second quarter of 2022, totaled $4.5 billion. In the quarter, BRL 855 million were also paid in dividends, out of which BRL 472 million went to national [indiscernible] minority shareholders and BRL 383 million to Marfrig shareholders. Marfrig’s leverage, BRF excluded, was 1.67x measured in reals and 1.68x measured in U.S. dollars. On Slide 16, the consolidated net debt according to CPC’s 15 and 36 totaled $7.1 billion at the end of Q2 2022. When measured in reals, consolidated net debt totaled BRL 37.6 billion in Q2 2022 already considering BRL 13.1 billion of BRF’s net debt. BRF’s consolidated leverage adjusted by EBITDA for the last 12 months was 2.00x measured in reals and 2.01x measured in U.S. dollars. On Slide 17, we present the details of the debt profile. Starting with the graph on the right, Marfrig, BRF excluded, ended June 2022 with cash of $2 billion. Additionally, we have an available $900 million revolver line at National Beef. In the graph on the right and due to the consolidation according to CPCs 15 and 36, the cash position at the end of the second quarter of 2022 totaled $3.6 billion. Finally, here on Slide 18, I would like to highlight Marfrig’s capital allocation actions, BRF excluded. During the second quarter, and taking advantage of market opportunities, we repurchased $320 million in bonds. The buyback at below face value and subsequent cancellation in addition to reducing growth indebtedness generated a financial gain of $15 million. As we announced, we will cancel 31 million treasury shares and also launch a new share buyback program of 31 million shares, representing more than BRL 400 million. Based on the strong operating performance commented by Tim and Miguel, management has proposed an early payment of BRL 500 million in interim dividends, which represents approximately BRL 0.76 per share. And so, we remain committed to creating value and return for our shareholders through buyback programs, dividend distributions, investment in organic growth and debt reduction. I will now hand it over to Marcos Molina, who will make his closing remarks.
Miguel Gularte: Thank you very much. I’ll now turn it over to Marcos Molina, who will make his final comments. Thank you.
Marcos Molina: Thank you, Tang. I would like to close this earnings conference call by highlighting that over the last 18 months, Marfrig has invested BRL 18 billion. Of this total, BRL 3.7 billion were in CapEx, most of which were invested in important strategic and organic growth projects. In addition, we repurchased and canceled more than BRL 2 billion in bonds and BRL 800 million in Marfrig stock. In this same period, we distributed BRL 2.8 billion in dividends to our shareholders. We also invested BRL 8.5 billion in the purchase of BRF shares or 33.27% of the company’s capital stock. This makes Marfrig a more diversified company from the geographical and protein point of view. Even so, we maintained the leverage ratio stable at 1.67x debt EBITDA at the end of the second quarter of 2022, when excluding the effects of the consolidation with BRF. And if we also exclude the amount invested in BRF from our net debt, we would reach a financial leverage below 1x. I emphasize again that our strong operational performance, coupled with our financial and strategic discipline has been fundamental to the purpose of generating value for our shareholders. I would like to end this presentation by congratulating and thanking all of our employees, suppliers, customers and shareholders for their support and trust, which enabled us to present yet another excellent result. We remain confident in the performance of the company and its ability to continue improving day by day by generating value to all. Thank you very much.
Operator: [Operator Instructions] The first question comes from Ben Theurer with Barclays.
Ben Theurer: Yes. So let’s see if this works. 2 questions. Maybe first for Tim Klein. Within the prepared remarks, and thank you very much for clarifying a few things in terms of the more short-term outlook, which you said is continues to be favorable. If we look what is beyond 2022 and what’s going on in the industry because of the drought right now. How do you feel about the availability and the potential impact into 2023 and beyond? And do you think there is going to be enough of an offset with what you’ve showed on the drop credit, which continues to be favorable and almost flat even on a sequential basis to kind of create a new normal, so to speak, from a profitability perspective in the U.S.? That would be my first kind of set of questions.
Tim Klein: Yes. Well, yes, that’s a great question. And what we see is the demand side of the equation is significant. And when we look at comparing it to what we had in the last cycle, it is much, much better. So in terms of cattle supply, I don’t have visibility beyond 2023 because, of course, the drought is still having some impact and we haven’t been able to nail that down yet. But through 2023, it appears that there are enough cattle -- adequate cattle given the capacity that’s in the industry. And with the demand structure that’s in place, I feel good about where we’re going to be at next year. We are on the type of side of the cycle where earnings will decline cyclically, but we’re still looking at a very, very healthy margins as we look at where we’re at in the rest of this year and then into next year as well.
Ben Theurer: Okay. Perfect. And then my second question, I’m going to ask it slow, so we can translate this. My second question is about Marfrig’s plans to work together with Brazil Food to optimize commercial strategies, go-to-market strategies, working more closely together on exports, on marketing? And what measures you are taking to help Brazil Foods improve the level of profitability, which has been so much under pressure?
Miguel Gularte: Thank you for your question. This is Miguel speaking. When we made the investment in BRF, it made all the sense in the world. They are our top customers of our process, the #1 buyers from our hamburger division. We have many common areas. We are going to explore synergies. In due time, we’ll be making them operational.
Operator: The next question comes from Guilherme Palhares with Bank of America.
Guilherme Palhares: Two questions from our side. First, in terms of the BRF consolidation, if you could give us some color in terms of the markup that we saw and what will be the related tax events that you have related to that in terms of tax regulation of this game? And second, looking at the exports on the South America operations. We see very strong print in terms of volumes and prices. And if you could provide some outlook for H2, what can we expect in the second half of the year coming from that division?
Miguel Gularte: Good afternoon. I’ll be answering the question about exports and then Tang will answer the second part of your question. We’ve had consistent exports performance, both amounts or value and volumes. In South America, we see some favorable seasonality in the second half of the year. When we break that down by geography, we could have more exports coming from Uruguay. The resumption is in the spring, September, October. In Brazil, we have more abundant cattle supply, cattle from feedlot comes to the market and the purchase of importer countries usually concentrated in the third quarter. So it’s regular seasonality. And it’s important because it’s very favorable to us. But let me point out just like we’ve shown in our releases in Q2 ‘22 when compared to first quarter of 2021 exports grew by 25% in terms of volume. When you consider that there is a likely scenario in the second half with a very overvalued U.S. dollar when compared to Brazilian real, that will help us to continue to perform well in exports. I don’t want to give you any guidance in that sense, but we have high hopes for the second quarter. I’ll turn over to Tang to answer your second question.
Tang David: Guilherme, this is Tang. [indiscernible] What’s your question about the tax? I’m thinking -- I think you’re talking about the PPA gains and the results and future impact as to the tax rates. If that’s what you want to know, that BRL 3.8 billion gain that is impacting our net results for this year. This gain will be amortized in the next 60 months, offset with tax credits that we have accrued in our balance sheet. Most of what you see in our financial statements are results-related effects. These are offset credits. In the first half, we had negative impact in the DRE, our financial statements. It has no cash effect. And now we have a reversal with noncash effects, only accounting effects and tax income, it’s not a good practice proxy on a quarter-by-quarter basis because it’s away from the accounting balance sheet. It’s a tax balance sheet, and you can only check that offset at year’s end. Overall, your PPA concern will start to amortize as of the next quarter, and we still have 60 months do that, and there is no cash effect as any other tax offsets.
Operator: This concludes today’s question-and-answer session. And this concludes Marfrig Global Foods S.A. conference call for today. Thank you very much for your participation, and have a nice day.